Operator: Hello, and welcome to the KVH Industries Q3 2022 Earnings Call. My name is Laura, and I will be your coordinator for today's event. Please note this call is being recorded. And for the duration of the call your lines will be on listen-only. [Operator Instructions] I will now hand you over to your host, Roger Kuebel, to begin today's conference. Thank you.
Roger Kuebel: Thank you, Laura. Good morning, everyone, and thank you for joining us today for KVH Industries' third quarter results which are included in the earnings release we published this morning. Joining me on the call are the company's Chief Executive Officer, Brent Bruun; and Chief Technology Officer, Bob Balog. Before we dive in, a couple of quick announcements. First, if you would like a copy of the earnings release, it is available on our website and from our Investor Relations team. If you would like to listen to a recording of today's call, it will be available on our website. If you are listening via the web, feel free to submit questions to ir@kvh.com. Further, this conference call will contain certain forward-looking statements that are subject to numerous assumptions and uncertainties that may cause our actual results to differ materially from those expressed in these statements. We undertake no obligation to update or revise any of these statements. We will also discuss certain non-GAAP financial measures, and you'll find definitions of these measures in our press release as well as reconciliations of these non-GAAP measures to comparable GAAP measures. We encourage you to review the cautionary statements made in our SEC filings, specifically those under the heading Risk Factors in our 2021 Form 10-K, which was filed on March 11 and Form 10-Q, which is expected to be filed sometime this afternoon. The company's other SEC filings are available directly from the information section of investors on our website. Before turning the call over to Brent, I would like to briefly comment on the delay in filing our 10-Q for the third quarter. On August 9, we signed, announced and closed the sale of our inertial navigation business to EMCORE Corporation. In the Form 12b-25 that we filed on November 10, we noted that as a result of the added demands on our financial and accounting personnel due to the sale, we were unable to file our 10-Q in a timely manner. Without going into all the details, I can tell you that having the inertial navigation business in the same legal entity and same set of accounting books as the mobile connectivity business, having shared vendors closing the sale mid-month and complying with our reporting obligations to EMCORE under both the sale agreement and the transition services agreement, all made the disaggregation of results a complicated and lengthy process. However, we have completed that process and believe we are in a good position to move forward. Now, to walk you through the highlights of our third quarter, I'll turn the call over to Brent.
Brent Bruun: Thank you, Roger. Good morning, everyone. We wrapped up a very positive and exciting third quarter that was highlighted by solid financial results, the sale of our inertial navigation business, the launch of our new TracNet H Series, and we also completed a lengthy competitive process, which resulted in a five-year renewal of our U.S. Coast Guard contract. Financially, it was a good quarter. Excluding any contributions from inertial navigation, we recorded $35.2 million in revenue, up 2% from the third quarter of last year. In aggregate, gross margin of 37.1%, which includes airtime gross margin of 44.2%, a new record. Adjusted EBITDA of $4.1 million, non-GAAP EPS of $0.07 per share, and we ended the quarter with more than 6,800 airtime subscribers. However, our growth was slower than anticipated, continued supply chain challenges, slowed shipments while economic and inflationary pressures seem to be impacting some new orders. We're also seeing increased competitive pressure particularly in the leisure marine market. KVH is in a good position to respond to these challenges. The restructuring we embarked on in March is working. After the inertial navigation divestiture, we implemented additional restructuring initiatives that resulted in further annualized savings of approximately $2 million. Overall, we have made significant positive progress in reducing operating expenses. Third quarter OpEx on a reported basis was $14 million, an 11% decrease versus Q3 of last year. As discussed during our call in August, we sold inertial navigation assets to EMCORE, which resulted in net proceeds of approximately $52 million. Over the last four months, we've unwound inertial navigation from our operations. These efforts touched on almost every department in the company, including sales and service, marketing, human resources, IT and data systems, facilities, engineering and finance, which has proven to be the most difficult. We are still in a transitionary period, but the bulk of this effort is now behind us. We continue to evaluate the best use of the proceeds from the transaction and the best path forward, including assessment of strategic alternatives for the company. We can now focus on the success and growth of our core business. On that front, we completed some outstanding initiatives and achieved strong results during Q3. First, U.S. Coast Guard selected us to deliver global communications for their small cutter fleet. We won this five-year contract renewal through a competitive bid process. The contract is worth as much as $69 million and supports more than 140 vessels and platforms. U.S. Coast Guard cutters will continue to use our TracPhone V7-HTS terminals and our global HTS network. We're proud to have delivered superior communications to the Coast Guard for more than 12 years and are thrilled to be keeping crew and ships connected for the next five. Additionally, we look forward to pursuing other connectivity and service opportunities with Coast Guard. In July, we introduced our new track – in July, we introduced our new KVH ONE hybrid network and TracNet H Series terminals. Every TracNet terminal includes fully integrated VSAT, 5G cellular and shore-based Wi-Fi, an industry first. These channels are managed by our unique intelligent channel-switching technology, which considers the cost of service, data throughput and connection quality. The result is a seamless and automatic process that enables users to enjoy connectivity without having to worry about what service is active. TracNet is the long-term foundation for what we believe will be a vibrant hybrid connectivity ecosystem that takes advantage of faster the cellular services and new technologies to support the growing demand for data. That's why every TracNet system is capable of integrating additional third-party channels, such as user-supplied SIM cards for local cellular services. L-band backup services such as Iridium service, and in the future, LEO and MEO constellations. All these features are managed with our automatic hybrid switching to deliver a multichannel communication service that will support future connectivity solutions. TracNet is shipping and feedback from customers is positive. The systems are easy to install, offer affordable airtime plans that are easy to understand and delivers a seamless hybrid experience. Financially, we continue to make progress in our connectivity business. We recorded airtime revenue of $27 million, an 8% increase in comparison to the same period last year. We achieved record airtime margins of more than 44% and third quarter KVH Elite subscriptions were up 60% over Q3 of last year. However, during the quarter, we faced lower-than-anticipated VSAT and satellite TV terminal orders and shipments because of the dual impact of ongoing supply chain challenges and inflationary pressures. As a result of the supply chain issues, we entered Q4 with more than $2.1 million in TVRO and $300,000 in VSAT systems backlog. The supply chain issues are steadily clearing and we expect any backlog we have entering Q1 will be based on customers not wanting or needing delivery until next year. We're also seeing challenges in the market. For example, in Alaska, where we support a large portion of fishing fleets, the king crab season was canceled due to unexpected and significant declines in crab stocks. The Baltic Index, a leading indicator for the commercial markets has been cut by two-thirds since the beginning of the year. And we are experiencing competitive pressure from new entrants into the market, especially in the leisure market. As a result, we will be slightly more conservative with our expectations for the remainder of the year and as we look at 2023. Roger will share additional insights on this in his comments. Nevertheless, we remain confident and enthusiastic about our business. We continue to roll out new features to expand the capabilities of the TracNet H Series. These include value-added services such as an ultracompact DC power below-deck unit, ideal for smaller yachts and regional commercial vessels. The ability to support both alternate primary and backup communication channels all managed through our intelligent hybrid hub, a new enterprise-grade cybersecurity option, a new cloud-based e-mail system that will offer tremendous flexibility and customer self-service and sports link stats or new real-time sports statistics new service for crew morale and entertainment. We're also in discussions with other third-party providers to deliver additional services over our network. These are vital competitive differentiators for our KVH ONE hybrid network and TracNet systems, especially as new connectivity services are rolling out. It's important to remember that these new services are simply data pipes with none of the critical tools and services required by commercial fleets and other customers. KVH ONE offers tools that – as well as integration with these new services. We're making the maritime hybrid connectivity ecosystem a reality. So to wrap things up, our restructuring efforts are building a healthy foundation for KVH sustained growth. We are steadily moving forward profitability and we can now focus entirely on our core business and strengths. Customers are thrilled with our innovative hybrid product line and we continue to introduce complementary value-added services and expanded integrations with third-party services. We are carrying out these strategic efforts with the goal of returning value to shareholders and I believe our results demonstrate that we are on the right path. Now I'll turn it over to Roger for the financial details.
Roger Kuebel: Thanks, Brent. First, I'd like to note that unless I specifically state otherwise, my comments will relate to our continuing operations, which exclude the results of the inertial navigation business prior to the sale. With that, as Brent mentioned earlier, our third quarter revenue came in at $35.2 million, increasing $0.8 million from the $34.4 million recorded in the third quarter of 2021. Our gross profit margin was 37% for the third quarter of this year as compared with 35% in the third quarter of last year. Service revenue for the third quarter was $28.5 million, an increase of $1 million or 4% from $27.5 million in the third quarter of last year. This increase was primarily due to a $2.1 million increase in mini-VSAT broadband airtime revenue primarily offset by a $1 million decrease in content service sales, which was largely due to the sale of our radio business in April of this year. As Brent noted, airtime revenue grew to $26.7 million, or approximately 8% over the third quarter of last year and total subscribers passed 6,800. As a reminder, total subscribers include those who have temporarily suspended their service. Airtime gross margin was 44%, which is up eight percentage points from a year-ago. This increase is due to a combination of factors, primarily the growth in our subscriber base. Although we are very pleased with the results, we expect that going forward, our target for airtime margins will continue to be in the high 30s. Product revenue for the third quarter was $6.6 million, a decrease of $0.2 million or 3% from $6.9 million in the third quarter of the prior year. This decrease in product sales was primarily due to a $0.4 million decrease in VSAT product sales and a $0.2 million decrease in TV land product sales, partially offset by a $0.4 million increase in maritime TV product sales. The decrease in land-based TV receive-only units was primarily due to supply chain issues which led us to allocate scarce raw materials to our higher-margin marine TV products. The decline in VSAT sales was primarily due to the level of last year's sales of units for customers migrating to our HTS network. We sold 138 units in Q3 of last year to these customers. However, supply chain issues also impacted our VSAT sales and we believe that we could have shipped an additional 90 units if sufficient raw materials had been available. Operating expenses for the quarter were $14 million, down $1.6 million or 11% from the third quarter of last year. This quarter includes approximately $450,000 in cost related to our September restructuring. So on a recurring basis, we were about $2 million less than a year-ago. You may recall that for Q2, we were about $1.9 million less on a recurring basis. These improvements are a direct result of changes we made in March, and we are now seeing the full benefit of those actions. I should note that consistent with past practice, we did allocate a portion of our corporate OpEx to the inertial navigation business prior to the sale. Absent any changes in our remaining business, those costs would have come back to continuing operations in Q4. However, the cost reduction actions we took in September will more than offset those. At the operating income level, these changes in revenue, margins and operating expenses resulted in a net loss from operations of $1 million which was a $2.5 million improvement compared with the $3.5 million loss recorded in the third quarter of 2021. The $1 million loss included the $450,000 of costs associated with the September restructuring and so adjusting for that, a recurring loss would be $500,000 to $600,000. Our bottom line net loss from continuing operations was $0.1 million compared to last year's net income of $3.7 million. However, last year's income included $7 million of other income due to the forgiveness of our PPP loan. On a non-GAAP basis, which excludes amortization of intangibles, stock-based compensation and other nonrecurring costs, such as unusual non-operating fees, foreign exchange translation, transaction gains and losses and employee termination costs, related tax effects and changes in our valuation accounts and other tax adjustments. After those adjustments, we had net income of $1.2 million compared with a net loss of $1.4 million last year. EPS for the third quarter was a net loss of $0.01 per share compared with net income of $0.20 per share in the same period last year. Non-GAAP EPS for the third quarter was income of $0.07 per share compared to a net loss of $0.07 per share last year. Our adjusted EBITDA for the quarter was a positive $4.1 million compared with a positive $0.8 million in the third quarter of last year. For a complete reconciliation of our non-GAAP measures, please refer to the earnings release that we published earlier this morning. Net cash used in operations was $1.5 million compared to $1.9 million provided by operations for the third quarter of last year. Capital expenditures for the quarter were $3 million. And for the full-year, we expect capital expenditures will be in the range of $14 million to $16 million, the majority of which is driven by AgilePlans shipments. Cash provided by financing activities was $0.6 million and cash received from the sale of the inertial navigation business with $55 million, resulting in an ending cash balance of approximately $70 million which includes approximately $2.4 million of cash collected for inertial navigation customers after the sale and is, therefore, owed to EMCORE. With respect to our outlook for the full-year and our second quarter earnings release, I had said that we expected adjusted EBITDA to be between $11 million and $15 million. Our first half on a consolidated basis, including inertial navigation was $6 million, and with $4.1 million from continuing operations this quarter, that would give us $10.1 million year-to-date. Even taking just continuing operations for the first nine months, we're at $9.5 million. As such, we remain comfortable that we will be over $11 million. However, the high-end of the range is more – looking more like $14 million and $15 million. With respect to revenue, I had said that we expected mobile connectivity revenue growth between 6% and 9% on a pro forma basis adjusted for the sale of the radio business. Brent described a number of challenges that we're seeing related to demand. And as a result, we are being a bit more conservative and expect revenue growth between 5% and 6% for our continuing operations. Finally, we continue to make progress towards our goal of operating income profitability. Last year, we lost $8.5 million in the second half of the year. We had a goal of breaking even in the second half of this year, assuming supply chain problems didn't persist. Unfortunately, they did, and as previously noted, our revenue expectations for the full-year have come down a bit. As such, we do not expect a breakeven for the second half. The Q4 comes in similar to Q3. We have a second half loss of around $2 million. And while there's risk in that, there is certainly opportunity to do better as well, and we are working very hard to do so. This concludes our prepared remarks, and I will now turn the call over to the operator to open the line for the Q&A portion of this morning's call. Laura?
Operator: Thank you. [Operator Instructions] We'll now take our first question from Ric Prentiss at Raymond James. Your line is open. Please go ahead.
Richard Prentiss: Thanks. Good morning, everyone.
Brent Bruun: Hi, Ric.
Richard Prentiss: Hey. A couple of questions. First, you mentioned that you are targeting the service margins in the high-30s versus what's been coming up in the more like mid-40s. What do you attribute that to as far as it – what's the main items driving that?
Brent Bruun: Well, the main items are we want to generate more pure revenue and margin dollars. So it's really a focus on market penetration and being able to effectively price our services in line or with market expectations as well as to try to generate more volume.
Richard Prentiss: Okay. So it really is the volume driving it and appreciate the color on the guidance update. Do you have the visibility that you're starting to see what 2023 could be looking like now that we're sitting here in early December?
Brent Bruun: I'll let Roger answer the detail, but we're in the midst of pulling our budget together. We're not really in a position to provide any type of guidance for 2023 at this point.
Roger Kuebel: I think that's something that was exactly what I'm going to say is that we are finalizing it. There are still some things kind of moving around a little bit, but we're obviously working on that. And as Brent said, though, it's kind of premature at this point to provide any guidance publicly.
Richard Prentiss: Right. But supply chain pressure is still kind of continuing out there. You called out some competition pressure as well. So we should, I think, assume maybe those are going to continue for at least a little while on supply chain and maybe longer term on the competition.
Roger Kuebel: Yes. On the supply chain side, I don't want to jinx ourselves, but it seems to be easing up a bit. We see within certain areas, things easing up being easier to find parts, scarce parts, but that could change going on considering what's going on in China with COVID, it's still really hard to say.
Brent Bruun: It's hard to say, but what we anticipate is being able to clear our backlog. And as I indicated in my comments, any backlog that we go into next year which will be based on customer timing as opposed to us not being able to ship any product. And Bob Balog is with us, and he actually runs our operations team. So do you have anything you want to…
Robert Balog: Yes. We – aside from that, we've also taken some pretty aggressive steps for component management, critical component sourcing and things like that, that sort of ensure that we don't run into minimize unexpected problems. So we've taken some pretty serious steps there.
Richard Prentiss: Okay. And last one for me is the $64,000 question, I guess, $69 million question. You're sitting with a lot of cash on the balance sheet. It sounds like some needs to go with the sale since you got paid after the close. But what's the time frame to be looking at strategic alternatives? What's on the table as far as potential things that might be in the realm of being considered?
Brent Bruun: I think that you could probably guess the realm we want to generate growth for the business, as I indicated through the margins. We're not in a position to disclose specifically what we're considering. I think that we'll probably be in a better position for the next call three months from now. And that's about as much as we can say.
Robert Balog: Yes. I think the Board is still evaluating everything. And so there's really kind of no change. So there's – I just sort of reiterating what we said before that the Board is evaluating all strategic alternatives. Nothing is off the table. Everything is being considered. And obviously, the objective is to create the most value for shareholders.
Richard Prentiss: Great. Thanks so much. Everyone, have a great day.
Robert Balog: Okay. Thanks.
Operator: Thank you. We'll now take our next question from Ryan Koontz at Needham. Your line is open. Please go ahead.
Ryan Koontz: Hi. Thanks for the question. Clarification on your Coast Guard win, how does that compare versus your historical business there with that fleet? Is it pretty similar?
Brent Bruun: It's very much similar. Yes.
Roger Kuebel: So it's very similar. It's a renewal, but it also includes some opportunity to sort of grow the relationship with respect to a program they have called morale, welfare recreation, which we've provide some to them in the past, but there's an opportunity under this to sort of expand that.
Ryan Koontz: Got it. Great. And in terms of your new kind of OpEx levels you hit in the quarter of some great progress there toward profitability. With the cut in R&D, is that something you feel is sustainable going forward? And are there any impacts there on kind of your roadmap forward from the changes?
Roger Kuebel: When you say the cut in R&D, I mean, one thing to recognize is that the R&D group had historically supported both the Inertial Nav and the mobile connectivity sides of the business. Obviously, with the sale, a number of folks in the R&D side moved over to EMCORE. And so the remaining folks we have here are solely focused on mobile connectivity. But I'll let Bob...
Brent Bruun: Okay. So in regard to R&D, we took some measures earlier in the year to focus and we reduced it both with the inertial navigation and mobile connectivity. We feel it's a team that we have in place is more than capable of fulfilling our service and product roadmap. And on a go-forward basis, as indicated by some of the product releases and additional services that we're introducing with KVH ONE and the TracNet series that we – they're more than properly staffed. Want to add anything?
Robert Balog: I would echo all I can add to that is I can echo exactly what Brent just said, we're more focused, we're delivering products unscheduled. We're pretty comfortable about that going forward. Yes, we're in pretty good shape.
Ryan Koontz: Okay. Great. And on the competitive front, you talked about leisure that just coming from some of the larger players like Inmarsat and Marlink and guys like this. Or is it new entrants?
Roger Kuebel: It's more new entrants.
Ryan Koontz: Got it. Helpful. And then in terms of – last question, in terms of the macro, like how should we – how should investors think about the macro impact on the, I guess, specifically leisure probably is the most impacted by potential macro headwinds, whether that's inflation or just recessional type impacts?
Roger Kuebel: Yes. I think when you talk about inflation and recession, which we're not in one yet, and hopefully, we don't go into one. The leisure marine market is definitely impacted, right? Because these are for entertainment and leisure by definition, is monies that are spent to for recreation. The nice thing about our business is the vast majority of our revenues are generated through both commercial and then we talked about the Coast Guard with our military and government business. So, although we're very focused on that piece of the business. It's a very small portion of our overall revenue or small portion, I would say variable, but a small portion.
Ryan Koontz: Got it.
Operator: Thank you. We'll now take our last question from Chris Quilty at Quilty Analytics. Your line is open. Please go ahead.
Christopher Quilty: Thanks, Brent. I just want to follow up on that last point. You used to report the mix of commercial versus – well, I should say, commercial as a percentage of many VSAT shipments. And if I remember the last time you reported, it was order of magnitude, 65%. Does that mix – that's still indicative of the mix you're seeing today?
Brent Bruun: We've – 65% is probably a bit low for merchant. It's probably closer to – I don't have the exact numbers. So Roger, maybe you do, but I know it's…
Roger Kuebel: It's over 80%.
Brent Bruun: The last quarter. Well, the Agile has a percentage...
Roger Kuebel: Yes, because it's Agile's too, the Agile shipments are almost all predominantly commercial.
Christopher Quilty: Right. And when you talk about the Baltic Index being down and obviously that's an indication of some commercial market weakness shipping market. Are you still seeing the same number of RFPs out there? Or have you seen that come down how in any way, has the competitive market changed for those larger deals?
Brent Bruun: I'd say it's pretty consistent on a year-over-year basis. RFPs have actually come down quite a bit over the last five years or so. But on a year-over-year basis, I'd say it's pretty consistent.
Christopher Quilty: Great. And the overall guidance for mobile connectivity taking it down, is that primarily product? Or is it evenly split between product and service? 
Brent Bruun: Well, here again, when we talk about product sales, that's truly units that we've sold, right? Many of our product shipments are Agile based and they're included within our airtime components. But to answer your question concisely, it would be both, but – and it's just a slight decrease, not a significant decrease.
Christopher Quilty: Great. And your network operating costs, having made the crossover here? Or do you see those being relatively stable or growing in accordance with new customer ads? Or do you have large block buys that are planned? How should we think about that on a go-forward basis? 
Brent Bruun: We'd be pulling down bandwidth proportionate with customer requirements, not in big...
Roger Kuebel: No large block-wise.
Christopher Quilty: Great. And I missed on the very front end of the call. Did you provide the gross margin specifically for the mini-VSAT service?
Roger Kuebel: The airtime gross margin is 44%.
Christopher Quilty: Got it. And that's why you were indicating that airtime margin should return back to more of the high 30s?
Roger Kuebel: Right. Yes. We...
Brent Bruun: Yes, over time. It won't be this quarter.
Christopher Quilty: Good. And I guess final question here. When you think about some of the strategic alternatives at hand. Obviously, there's a lot of smaller maritime service providers out there that's one path. But you've historically been more focused on product line extensions, things like KVH Watch. Is there a philosophical preference for one direction over another?
Brent Bruun: Our philosophical direction right now is that we've built this new H Series, we have a KVH ONE hybrid network, which we have on our own dedicated 5G/LTE capacity, as I indicated from a cost perspective, a customer can go buy a local SIM, and many times that could be very competitive. But we feel we have the right data pipe, the rate tools internally with what we're rolling out to expand those, whether it be through internal development efforts or through working with other third-party value-added service providers.
Roger Kuebel: I think with regard to your question about a philosophical preference, it's really around what's going to maximize value, where can we create value. And I think one of the things that we're looking at is the suite of value-added services that we provide which are sort of more or less unique to us and where we have a competitive, a strong competitive advantage and enhancing that suite of value-added services.
Christopher Quilty: Great. Appreciate the feedback. Thank you.
Roger Kuebel: Okay. Great.
Operator: Thank you. There are no further questions in queue. I will now hand it back to Roger Kuebel for any additional or closing remarks.
Roger Kuebel: I think that's all. Thank you. I appreciate everyone joining the call. I appreciate the questions and look forward to continuing to deliver great value for shareholders. Thanks all.
Brent Bruun: Thank you very much.
Operator: Thank you. Ladies and gentlemen, this concludes today's call. Thank you for your participation. Stay safe. You may now disconnect.